Operator: Good morning. My name is Andrew, and I will be your conference operator today. At this time I would like to welcome everyone to the Pason Systems, Inc.'s Fourth Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Celine Boston, CFO, you may begin your conference.
Celine Boston: Thank you, Andrew. Good morning everyone and thank you for attending Pason's 2024 fourth quarter conference call. I'm joined on today's call by Jon Faber, our President and CEO. I'll start today's call with an overview of our financial performance in the fourth quarter. John will then provide a brief perspective on the outlook for the industry and for Pason, and we'll then take questions. I'm very pleased to report on Pason's fourth quarter and full-year 2024 results which demonstrate the incorporation of our new completion segment, the resilience in our drilling segments, and growth in our solar and energy storage segment. As a reminder to listeners, Pason acquired and began consolidating Intelligent Wellhead Systems or IWS, on January 1st of 2024, creating a new completion segment for the company. As such, references made to 2024 will include IWS' financial results, whereas 2023 will not. In 2024, Pason generated CAD414 million in consolidated revenue, a result that was 12% higher than revenue generated in 2023. Through a 10% decline in industry activity year-over-year, Pason's North American drilling segment generated annual revenue of CAD283 million, a result that was only 2% lower than the prior year. Pason's annual revenue per Industry Day grew by 8% from 2023 and was a new annual record for the company at CAD1,000 in '25, through continued gains in product adoption and improved price realization. Pason's newly acquired completion segment generated CAD52.6 million in revenue in 2024, a 15% increase from the revenue IWS generated in the 2023 year prior to being consolidated within Pason's results, and that significantly outpaced the 10% decline seen in active frac spreads in the U.S. Adjusted EBITDA in 2024 was CAD161.8 million, or 39.1% of revenue, compared to CAD171.5 million, or 46.4% in 2023. Revenue growth in 2024 coming from earlier stage segments such as completions and solar and energy storage is at lower margin levels than Pason's drilling segments with the investments made for their current stage of growth. Further, within drilling segments, lower industry activity levels over a mostly fixed cost base impacted margins in 2024. Net income attributable to Pason for the year was CAD121.5 million, or CAD1.53 per share, and included a CAD50.8 million non-cash accounting gain relating to the acquisition of IWS. From a quarterly perspective, Pason generated a consolidated revenue of CAD107.6 million in the fourth quarter of 2024, compared to CAD93.3 million in the fourth quarter of 2023. With this revenue, Pason generated CAD42.1 million in adjusted EBITDA, or 39.1% of revenue. I'll now provide an overview of the fourth quarter by business units. Against a challenging industry activity backdrop, particularly in the US, Pason's North American drilling business unit generated revenue per Industry Day of CAD1,046, a 5% increase from the fourth quarter of 2023. As a result, outpacing the 3% reduction in industry drilling activity, the North American drilling segment generated revenue of CAD71.8 million in the fourth quarter of 2024, which was 2% higher than the fourth quarter of 2023. The segment's cost base remained mostly fixed in nature and saw lower repair expenses in the fourth quarter, while depreciation and amortization expenses grew year-over-year with increased capital expenditures recently. Further strength in the U.S. dollar versus the Canadian dollar in the fourth quarter of 2024 impacted U.S. dollar sourced revenue and expenses for the segment. Resulting segment gross profit of CAD43.4 million in the fourth quarter of 2024 was 4% higher than the CAD41.5 million generated in the fourth quarter of last year, highlighting the segment's operating leverage. Our international drilling segment generated CAD15 million in quarterly revenue and CAD6.5 million in segment gross profit in the fourth quarter. Prior year Q4 revenue and segment gross profit benefited from inflationary and foreign exchange factors with a significant devaluation seen in the Argentinian Peso in that period. In our completion segment, IWS had 26 active jobs and revenue per IWS day of CAD5,668 through very challenging industry conditions in the fourth quarter of 2024. I'll remind listeners that revenue per IWS day will fluctuate depending on the mix of technology adopted amongst existing customers and further will be impacted by foreign exchange fluctuations with the US and Canadian dollar. Reported revenue for the segment was CAD13.6 million, up from CAD12.5 million in the third quarter of 2024. Gross profit for the segment of CAD0.8 million represents operating expense investments made for the segment's current stage of growth along with CAD5.5 million in depreciation and amortization expense associated with the property and equipment and intangible assets acquired on January 1 of 2024. Energy Toolbase, which is reported within our solar and energy storage segment generated CAD7.2 million in quarterly revenue, a new quarterly record and an increase of 49% from the 2023 comparative period, with the timing on deliveries of control systems driving the difference year-over-year. The segment's revenue will continue to fluctuate with timing of these deliveries going forward. Sequentially, revenue growth in the company's completions and solar and energy storage segments offset the seasonal declines in industry drilling activity leading up to the December holiday period. Revenue grew by 2% quarter-over-quarter as a result. Adjusted EBITDA of CAD42.1 million in the fourth quarter compares to CAD44.1 million in the prior quarter and reflects the addition of lower margin revenue from IWS and Energy Toolbase given their current stage of maturity and growth. Depreciation and amortization for the company has increased from CAD7.8 million in the fourth quarter of 2023 to CAD13.9 million in the current quarter. This increase is attributable to higher levels of capital expenditures in recent quarters with gross related investments within our completion segment along with the depreciation and amortization associated with the fixed assets and intangibles capitalized as part of the IWS acquisition on January 1 of this year. Net income attributable to Pason for the three months ended December 31, 2024 was CAD16.9 million or CAD0.21 per share, compared to CAD8.5 million or CAD0.11 per share generated in the fourth quarter of 2023. Our balance sheet remains very strong and coupled with our free cash flow generation allows us to make gross related investments while returning meaningful levels of cash to shareholders. In 2024, net capital expenditures were CAD69 million, which now includes the addition of capital expenditures for IWS' business as we make investments to build out their fleet of rental assets. Reflecting these investments, free cash flow in 2024 was CAD54.1 million, compared to CAD97 million in 2023. With this free cash flow, we returned CAD51.4 million to shareholders through our quarterly dividend and share repurchase program and ended the quarter with total cash including short-term investments of CAD81 million and no interest bearing debt. In summary, we continue to be well positioned for growth within our established and resilient position within drilling and our growing position in completions and solar and energy storage. I will now turn the call over to Jon for his comments on our outlook.
Jon Faber: Thank you, Celine. Our financial results for 2024 demonstrate the ability of our business to outperform industry activity. Our North American drilling segment declined by 2% compared to a 10% decrease in North American land drilling activity. North American revenue for Industry Day was CAD1,025 for the year, an 8% increase from 2023, largely driven by increased product adoption and to a lesser extent improved price realization. Revenue from our completion segment grew 15% from 2023 levels, far outpacing a 10% decrease in the reported number of active frac spreads in the United States or 25% outperformance. In our international drilling segment, reported revenue decreased by 6% in 2024 with 2023 results benefiting from inflationary and foreign exchange factors in Argentina. Energy Toolbase revenue increased 15% year-over-year from 2023 levels. Consolidated revenue for the year of CAD414 million was 12% higher than the prior year. Adjusted EBITDA for the year totaled CAD162 million, representing an adjusted EBITDA margin of 39%. Margins decreased from 2023 levels as a result of higher revenue contribution from the completions and solar and energy storage segments, where segment margins are lower at their current stage of development. We do expect the margins in these segments to expand over time as revenues increase. Fourth quarter results for 2024 similarly demonstrated our ability to outpace industry activity, particularly in our North American drilling segment where a 2% year-over-year increase in quarterly activity outpaced a 3% decrease in industry activity, and in our completion segment where a 9% sequential increase in revenue outpaced a 4% decrease in the number of active frac spreads in the United States in the quarter. We currently expect that North American land drilling activity in 2025 will be similar to 2024 levels, while completions industry activity for the year may be slightly lower owing to a stronger first half of 2024. In that context, we expect Pason to continue to outpace industry activity and to deliver meaningful growth and strong financial results. Both our drilling and completions businesses benefit from increasing complexity in drilling and completions operations. As customers continue to pursue automation and analytics efforts, including leveraging artificial intelligence applications and the establishment of real time operating centers, access to consistent, reliable, high-quality data is increasingly important for both drilling and completions operations. Pason's experience over more than four decades in serving the data needs of the drilling market provide us with the ability to make meaningful advancements in helping customers access data across the entire well construction process. The gains that we have made in increasing North American revenue per Industry Day in our drilling segment and in expanding our customer base while maintaining a strong revenue per IWS day in our completions business should translate into continued outperformance against industry conditions. Our innovative new drilling mud analyzer provides continuous real time readings of critical drilling mud parameters, and we are seeing higher adoption of our automation products. Our well site automation products provide valuable safety and efficiency benefits for customers in their completions operations, and we are working closely with customers to develop compelling data management solutions for the completions market, benefiting both operators and service companies. Strong bookings of control systems in our solar and energy storage segment in 2024 are expected to translate into further revenue gains in 2025. Our capital allocation priorities are driven by a focus on return on invested capital. Today, our highest expected returns on capital come from the organic investments we are making to continue the growth of our completion segment, coupled with the ongoing rollout of the mud analyzer in our drilling related business. In 2025, we expect to spend approximately CAD65 million in capital expenditures. We will continue to pursue disciplined shareholder returns over time through our regular quarterly dividend and share repurchases. We aim to consistently deploy capital to share repurchases through market cycles, thus buying back a larger number of shares during periods of market weakness and less shares when the market is stronger. We are maintaining our quarterly dividend at CAD0.13 per share and preserving flexibility to continue repurchasing shares in the current environment of uncertainty. We evaluate our capital program with a focus on increasing revenue, generating free cash flow, and creating value for shareholders over time rather than simply in response to prevailing near term industry conditions. Our balance sheet remains strong. At December 31, we had CAD81 million in total cash, including short-term investments and positive working capital of CAD121 million. We would now be happy to take any questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question is from Keith Mackey from RBC Capital Market. Please go ahead.
Keith Mackey: Hey, good morning.
Jon Faber: Good morning Keith.
Celine Boston: Good morning.
Keith Mackey: Good morning. I'm just curious about the completion segment. Can you just talk a little bit more about what -- where you are in terms of the rollout of the completions IWS business? And ultimately what needs to happen to see the margin inflection that you talked about there in your prepared remarks Jon?
Jon Faber: Sure, Keith. In terms of the rollout of where we are in the completions segment, it's still fairly early days in the completions market for this type of technology. So we would continue to estimate that the rollout of this technology is probably somewhere in the order of 25% to 30% of the overall market for all providers of this type of technology. Our best information would suggest that our completion segment would have the largest share of that portion of the market. But there's still long ways to go in terms of overall market adoption. We certainly have a number of customers who are using the technology across all or most of their completions operations, but we have some customers who are continuing to roll it out within their various operations. And then of course we're continuing to add new customers around that. So in terms of the rollout there -- what needs to happen next for revenue to continue to grow, I guess there's the overall market needs to continue adopting more some of the existing customers who aren't using it on all of their operations yet, continuing to adopt it across more of their fleets and then continuing to add new customers. I'll let Celine comment on the trajectory of margins and sort of what it would take to get to similar margins we see on the drilling side.
Celine Boston: Yeah, so I mean a couple of dynamics there Keith, as you know, one is, we're investing in advance of the revenue showing up. The cost base on the completion side would be much like what you're used to seeing on the drilling side and that it's mostly fixed in nature. You have to make those investments in advance of that revenue growth showing up. And then the second part is that the business is just not fully at scale yet. So I would say at scale, we continue to believe that the completion segment is capable of generating drilling like margins, but it's going to take a little bit of time to get there.
Jon Faber: I guess maybe the other comment I would quickly add, Keith, when you talk about kind of continuing to come back, we talked a lot in 2024, if you recall, about some of the headwinds that that segment would have seen in terms of natural gas prices and also customers involved in M&A transactions. We think that kind of normalizes through 2025. So we think that would help on the activity side. I think if we look at the fourth quarter of the completion segment, I think the performance of that segment was a bit of an outlier relative to other North American completions providers, which is an indication of the continued ability to gain new customers and see some of those customers increasing their activity.
Keith Mackey: Got it. Thanks for that color. Maybe just secondly, on capital allocation, you talked about CAD65 million capital program. Can you just maybe discuss a little bit about where that's going to be allocated between maintenance and then the completions growth versus the mud analyzer?
Celine Boston: Yes. As you know, Keith, it's difficult for us to completely bifurcate between maintenance and expansion because a lot of the CapEx that we incur out at any given year is related to the refresh of our ongoing technology platform in our drilling infrastructure and our drilling business. And you know, although there are parts of the technology that we have to update and refresh, it also allows us to do more with that technology, and it's more capable in the context of more capabilities for our customers, which potentially results in higher price or opportunities to improve prices. As you think about the breakdown of the CAD65 million, roughly CAD40 million would be allocated towards drilling. Some of that would be maintenance-type items like trucks for our field technicians and other day-to-day expenditures. And then the other piece would be that refresh of our technology platform that I talked about. And then also the ongoing build out of our mud analyzer. And then roughly CAD25 million would be allocated towards our completion segment. And that's the continued build-out of the valve management and automation technology.
Keith Mackey: Okay, got it. Thanks very much.
Jon Faber: Thanks, Keith.
Operator: Your next question is from Aaron MacNeil from TD Cowen. Please go ahead.
Aaron MacNeil: Hey, good morning, all. Thanks for taking my question.
Jon Faber: Good morning.
Celine Boston: Good morning.
Aaron MacNeil: Maybe building on Keith's first question, and I can appreciate market conditions are pretty tough, but can you speak to the pace of customer acquisition at IWS? Like are you adding new customers? Are you starting to grow again with existing customers? Like what's sort of that dynamic look like?
Jon Faber: Well, I guess at a high level, Aaron, I would say the adding new customers has actually been ahead of our expectations even through 2024, where we would have seen softer than we expected in 2024 was actually existing customers slowing their own activity down. And so the challenge in 2024 was that if a customer who was working on makeup numbers, five or six jobs would slow down to two or three, i.e., slow down by two or three jobs, you then have to find two or three new customers to each take one new job each as they trial the equipment. So there's kind of timing differences between those commercial endeavors, but the addition of new customers has actually gone very well through 2024 and continues to go very well. So we're very encouraged about that. And in some cases with these M&A transactions, we are now installing on the assets or the fleets of the acquired companies. And so that wouldn't be direct new customer acquisition, but exposure to a fleet that we might not have otherwise been on before. So the new customer acquisition is going very well. It's just when you're acquiring new customers, it tends to come one job at a time while you trial, and then you scale from there. And when customers slow down activity that can come in more two, three, four at a time.
Aaron MacNeil: Got you. Okay. And similar question on the mud analyzer. Just can you speak to its performance relative to, I guess, your own internal and customer expectations and what the potential appetite might be for other customers that might have to pay the full rate now that you've sort of got some operating in the field?
Jon Faber: Yes, so the mud analyzer is going quite well relative to our initial expectations. I think we've talked in previous calls about the fact that for customers outside of our technology partner on the particular technology, they may be a little less familiar with the data feeds that are coming from the mud analyzer. There may be some operational changes in their drilling operations to best utilize the technology. And so that has been things that have slowed a little bit the adoption outside of the technology partner. The technology partner's currently using it on all of their fleets, including fleets of companies they would have recently acquired. So that has gone very, very well. We're growing the number of other customers using the technology. Encouragingly, we're removing people from their first trial to their second trial on companies that would have double-digit number of active drilling rigs. And so, it's -- the most friction is always from zero to one. You always have a reasonable amount of friction from one to two and then from two to three, three to four and so on becomes less friction. And so we're quite encouraged about the ability to expand into the -- growing the number with some of those customers who are now on kind of number two, if you will, on trajectory to double-digit types of rig fleets and then adding new customers as well who are starting to use it for the first time. So it's going well there, but you know, it's out now with all the fleets with the technology partner and so now it's continuing to grow with other companies for growth on the mud analyzer side.
Aaron MacNeil: Okay, maybe I'll ask one more. I don't want to leave out Celine. Are there any firm targets for 2025 in terms of capital allocation to the buyback? Like, is there anything internally, even if you don't want to disclose it, where you say we're going to put x-dollars towards the buyback or do x-number of shares?
Celine Boston: Yeah. I -- as I think for us the importance is the discipline around the continuous repurchasing. And we -- as Jon said in his comments, we see an opportunity today in light of ongoing uncertainty and what that potentially does from a stock market perspective to be -- to favor the buyback over the dividend.
Aaron MacNeil: But nothing is concrete in terms of like a target?
Celine Boston: No, I don't know that we'll be giving target numbers at this point.
Aaron MacNeil: Fair enough. Thanks. Appreciate the time.
Jon Faber: You bet.
Operator: [Operator Instructions] Your next question is from John Gibson from BMO Capital Markets. Please go ahead.
John Gibson: Good morning, all. I just wanted to follow on Aaron's question, maybe ask a different way. I mean, obviously your valuation has compressed quite a bit. The outlook is solid in the US and Canada and you still build cash throughout 2024. I'm wondering if you could -- I know it's in Pason's DNA to hold cash on the balance sheet, but wondering if you could look a little bit into that cash balance to ramp the buyback here in 2025?
Jon Faber: Well, I think, John, it's been in our DNA to have more cash on the balance sheet in anticipation of having acquisition opportunities for changing the risk and growth profile of the company, i.e., the acquisition of IWS. So we would have carried quite a bit more cash in anticipation of the completion of the acquisition of the rest of IWS. We now carry quite a bit less cash. We continue to think it's a net cash business given the significant operating leverage of the business. And we don't see the need for the cash balance to be higher than what it would be today. So, then the question becomes where do the incremental capital dollars get spent? There's a finite limit to the amount of capital you can put into organic investments or certainly the pace at which you can make organic investments in order to get appropriate returns on those investments. And so, we do think the number one use of capital today is continuing to grow the completion segment, continuing to roll out more mud analyzers, but there's still surplus cash. The dividend has been a profile of the company for a very, very long time. And we've said that that will grow slowly and steadily over time. This quarter, of course, we've maintained the dividend in recognition of the fact that in the current environment, with certainty, incremental shareholder return dollars are better deployed to a repurchase program than to the dividend side. But I don't think we see any need to build cash the way the company would have historically done. We see the ability to continue to grow the business as the first priority and then beyond that as Celine said, we would favor repurchases over incremental dividends in the current environment.
John Gibson: That's fair. It seems to me like you can kind of do it all here, especially with where CapEx is at, growth is at and maintenance is at. So you have to come, I guess. But thanks. I appreciate the response.
Jon Faber: Thanks, John.
Operator: [Operator Instructions] There are no further questions at this time. Please proceed with closing remarks.
Jon Faber: Appreciate everybody's time this morning, joining us for the call. We'll look forward to speaking with you again when we release our first quarter results. But if you have any questions in the meantime, certainly don't hesitate to reach out to Celine or myself. Thanks very much for your time.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.